Operator: Good morning, everyone, and welcome to Lowe's Companies Second Quarter 2020 Earnings Conference Call. My name is Michelle, and I will be your operator for today's call. As a reminder, this conference is being recorded.  
 I will now turn the call over to Kate Pearlman, Vice President of Investor Relations. Thank you. You may begin. 
Kate Pearlman: Thank you, and good morning, everyone. Here with me today are: Marvin Ellison, our President and Chief Executive Officer; Bill Boltz, our Executive Vice President, Merchandising; Joe McFarland, our Executive Vice President, Stores; and Dave Denton, our Executive Vice President and Chief Financial Officer.  
 I would like to remind you that our notice regarding forward-looking statements is included in our press release this morning, which can be found on Lowe's Investor Relations website. During this call, we will be making comments that are forward-looking, including our expectations for fiscal 2020. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties and important factors, including those discussed in the Risk Factors, MD&A and other sections of our annual report on Form 10-K and our other SEC filings. 
 Additionally, we will be discussing certain non-GAAP financial measures. A reconciliation of these items to U.S. GAAP can be found in this morning's press release and on our Investor Relations website.  
 With that, I'll turn the call over to Marvin. 
Marvin Ellison: Good morning, everyone. I'd like to start out by thanking our associates for their tremendous actions to support our customers and communities across both the U.S. and Canada. We are grateful for their hard work and ongoing commitment to safety. Without question, this has been the most challenging personal and business environment that any of us have operated in. Throughout all the uncertainty that we faced in the second quarter, we never lost focus that our #1 priority as a company is protecting the health and well-being of our associates and customers through a safe store environment and shopping experience.  
 In the second quarter, we continued to prioritize the financial support of our associates and community while providing the customers with the products and services they need to manage and care for their homes. We were pleased and humbled that we were the first choice for many customers who needed home improvement items for their businesses and homes during this unprecedented time. And I would like to thank those customers who trusted us and for rediscovering Lowe's.  
 More specifically, during the second quarter, we invested an incremental $460 million in support for our frontline associates, communities and store safety. Through the first half of 2020, the company has invested $560 million in incremental financial support for our associates. In recognizing that helping people make their homes better extends into our neighborhoods, communities and country, we've committed $55 million in grants to support minority-owned and rural small businesses. In total, during the COVID-19 pandemic, we've committed $100 million of assistance to those in our community who need it most.  
 Our financial results this quarter demonstrate that we've experienced unprecedented demand in many of our business categories due to customers spending more time at home during the COVID-19 pandemic. However, these results could not have been realized without our efforts over the past 18 months to implement our retail fundamental strategy, which dramatically improved and modernized our business infrastructure. These modernization efforts have created technology and operational platforms to meet customer demand and grow our business during these challenging times. And some of these initiatives include hiring home improvement and retail subject matter experts in key leadership roles, which has allowed us to quickly make informed decisions and implement necessary changes during the COVID-19 crisis; replatforming Lowes.com from a decade-old infrastructure to the cloud and developing a top-rated mobile app that's allowed us to grow online sales triple digits; a customer-centric labor scheduling system that gave stores the flexibility to align payroll with the unique needs of the customer and the associate; deploying a new price management system to provide our merchants with better data to maintain cost discipline and take more strategic approach to pricing and promotions; enhanced Pro product and service offerings, combined with the new Pro loyalty platform, that helps us keep pros working and offers them meaningful rewards while providing us with better customer insights; and our field merchants and merchandise service teams who play an essential role in helping our stores quickly reconfigure to support social distancing and also respond to the significant increase in demand. While we still have work to do, we're pleased with the progress we've made thus far to modernize our company. And we're looking forward to building on this momentum in the back half of 2020 and for years to come.  
 Now let me turn to our second quarter results. We delivered strong sales growth beyond our expectations with total company comp sales growing 34.2% over the prior year. Diluted earnings per share grew 75% to $3.74. Our U.S. home improvement comps was 35.1% due to robust project demand from DIY and Pro customers that was broad-based across channels, product categories and geographies. Overall, we saw a sharp acceleration from Q1 demand trends, including significant increases in the number of new Pro and DIY and millennial customers.  
 DIY comps outpaced Pro comps in the quarter, driven by a consumer mindset that was heavily focused on the home and wallet share shifts away from other activities, like dining out, vacations and purchasing apparel. Pro sales were also strong with comps in the mid-20s with demand accelerating in May and remaining strong throughout the quarter. Our Pro performance was supported by the progress we've made with retail fundamentals, like job lot quantities and improved service levels.  
 From a geographic perspective, growth was balanced across the U.S. store footprint with positive comps of 30% or more in all 15 geographic regions in all 3 U.S. divisions. Importantly, we saw strong sales trends in urban areas. In fact, comp sales in our urban markets outperformed remote or rural markets by over 500 basis points. This is an important data point because it reflects the success of our business model in all geographic settings as well as the importance of having a strong Pro business as well as an effective omnichannel strategy to compete in urban settings.  
 Our Lowes.com comp sales grew 135% as Pro and DIY customers increasingly shopped online, driving online penetration to 8% of sales. And as I mentioned earlier, we completed the replatform of Lowes.com to the cloud during the quarter. This enabled us to improve site functionality and sustain triple-digit growth without any systems interruptions. I'm very pleased with the work of our CIO, Seemantini Godbole, and her team to complete this replatforming effort in record time.  
 And in Canada, we posted positive comps that exceeded 20%, driven by similar consumer focus on the home as well as strong execution by our new leadership team. While we're pleased with their efforts to serve the incremental demand this quarter, our Canadian team remains focused on the work ahead to improve operating efficiency while driving sales.  
 Looking ahead, we are confident that we'll continue to build on the momentum that we delivered in the first half. And in the second half of this year, we are reinvesting in the business to elevate our product, simplify our store environment and improve our service offering. These investments will include store resets to improve product adjacencies, bay productivity and sales per square feet.  
 We're also advancing our supply chain infrastructure with our recent announcement that we'll open 50 cross-dock delivery terminals, 7 bulk distribution centers and 4 e-commerce fulfillment centers over the next 18 months. Our investments in our stores and investments in our supply chain evolution reinforces our commitment to becoming a world-class omnichannel retailer. We're making the right investments to drive long-term sales growth, operating profitability and sustainable shareholder returns.  
 In closing, I'd like to reiterate how incredibly proud I am of our associates and their dedication to supporting customers in our communities during this time when they need us most. And with that, I'll turn the call over to Joe. 
Joseph McFarland: Thanks, Marvin, and good morning, everyone. Over the past 18 months, we've been steadily improving our store operating efficiency and customer service. And we remained laser-focused on supporting a safe store environment through a data-driven approach based on an analysis of store traffic trends across our portfolio.  
 As I previously indicated, we implemented numerous safety standards in the first quarter in support of social distancing and enhanced sanitizing and cleaning. We executed these standards in a consistent, uniform manner across our stores in the U.S. and Canada to protect the health and safety of our team members and the communities we serve. These standards included removing product to free up space for our customer, adding signage and floor markings and adding social distancing ambassadors and leveraging technology to monitor store traffic, which help store managers limit customers based on the footprint, in line with the regulatory requirements.  
 In the second quarter, we added further safety measures by requiring all frontline associates to wear masks beginning in early May and by adopting a nationwide standard for all customers to wear masks in mid-July. In support of this standard, we are providing free masks for customers who need them. And our customers' appreciation for these efforts was evident in a significant increase in our brand reputation and engagement scores as we shifted our marketing away from promotional messaging and instead focused on our commitment to our communities.  
 I'm also pleased that we delivered strong customer service for both Pro and DIY customers in the second quarter while maintaining rigorous safety requirements and driving 35% U.S. sales comps. This is a testament to the outstanding work of our frontline associates and our commitment to our customers and communities. The health and safety of our associates and customers has always been and will remain our highest priority. 
 Our strong results this quarter would not have been possible without the extraordinary efforts of our frontline associates, and we continue to recognize these efforts with incremental financial assistance. We announced 2 bonuses for July and August, which totaled $230 million. Full-time associates are receiving $300 and part-time and seasonal associates are receiving $150 in each payout. In fact, each payout was grossed up for taxes, so the company covered the incremental taxes as well. Combined with the support provided earlier in the year, we have now invested $560 million in COVID-related financial support for our frontline associates.  
 And in addition, I'm really pleased to announce that 100% of our stores earned a record "Winning Together" profit-sharing bonus this quarter totaling $107 million. Based on better-than-expected store performance, this represents an incremental $35 million payout to our frontline associates, above the target payment level. And we supported our communities by hiring over 100,000 associates for the spring. We are converting these seasonal associates to permanent positions at a much higher rate than in past years, which will help us meet the strong demand that we're continuing to see across our stores. In addition, each of these associates received telemedicine benefits for themselves and their families, even if they were not enrolled in Lowe's benefits program.  
 I'd like to now spend a few moments discussing our initiatives in support of our Pro customer. When the pandemic hit, we recognized that we needed to step up our efforts to keep pros working. On June 1, we launched JobSIGHT for Pros in partnership with Streem. This is a free, augmented video chat service that allows pros to conduct virtual home visits with their clients without entering their homes, which opens up their job opportunities. This is just another example of how we're innovating to leapfrog our competition.  
 And to further support their job pipeline, we recently announced a partnership with HomeAdvisor for our Pro loyalty customers. These customers will receive a free 1-year subscription to HomeAdvisor and a credit for an average of 10 free job leads as well as access to webinars hosted by industry experts on how to grow their business. Our Pro customers know that we've got their back and are committed to help keep them working, particularly in these uncertain times.  
 And today, we are thrilled to announce a significant step in the expansion of our product and service offering for the Pro. We are beginning a multiyear national rollout of Lowe's tool rental program with the grand opening of our first location at our Central Charlotte store next week. As over 70% of pros are currently utilizing tool rental programs, this will provide a meaningful opportunity for Lowe's to deepen our relationship with this customer segment. After a successful pilot, we are launching this program nationwide with a broad product assortment, a fully equipped mechanic shop, a large store footprint and importantly, intuitive customer-facing technology that creates a fast, frictionless process for this time-pressed customer. I look forward to updating you on our progress against this important initiative on future calls.
 Turning to our services business. Installed sales delivered positive comps in Q2 with the results improving as we moved through the quarter as customers began to feel more comfortable allowing contractors back in their homes. And from a store technology perspective, we've also completed the rollout of our intuitive touchscreen point-of-sale system and checkout across all stores. This new interface dramatically reduces associate training time as compared to the cumbersome green screens and multiple interfaces that they were previously using and also improves the customer experience through a shorter checkout process.  
 We also completed the launch of mobile printing across our store portfolio and installed digital signs in our appliance department. These initiatives reflect our ongoing efforts to modernize our store environment while giving our store associates more time in the aisles to serve our customers and move us further towards our goal of allocating 60% of their time to customer service and 40% to completing tasks.  
 In closing, I'd like to reiterate my appreciation for our frontline associates and their continued hard work and commitment to safety in serving customers. Thank you, and I will now turn the call over to Bill. 
William Boltz: Thanks, Joe, and good morning, everyone. As Marvin mentioned, we posted U.S. home improvement comparable sales growth of 35.1% in the second quarter, driven by broad-based outperformance across DIY and Pro customers as well as indoor and outdoor product categories. We delivered indoor comps of 30%, driven by strength in indoor categories, such as decor and lighting. We delivered strong growth across all merchandising departments. In fact, all 15 merchandising departments generated positive comps exceeding 20%.
 As customers continue to spend more time at home this quarter, we saw an acceleration in both indoor and outdoor project activity, including core repair and maintenance, along with projects to repurpose home space for work and study as well as discretionary indoor and outdoor projects to increase customers' enjoyment of their homes. We also continued to see robust COVID-related demand for essential cleaning products along with other home necessities such as appliances.  
 During the quarter, we posted comps over 30% in core project categories, such as lumber, tools and paint, driven largely by extensive indoor and outdoor project activity from both the DIY and Pro customer. Importantly, we saw significant improvement in installation-heavy categories, such as flooring, millwork and kitchen and bath. In paint, we continued to drive strong sales of both interior and exterior paint and stains as well as applicators as our brand offering and service model positioned us to serve increased project demand with our paint products being key components of many home improvement projects.  
 Lumber benefited from strong unit demand from both Pro and DIY customers as well as our investments in job lot quantities. And in tools, we saw strength across all segments of power tools, along with growth in tool storage and mechanics tools, driven by the CRAFTSMAN brand as customers took to doing projects at home. Our lawn and garden and seasonal and outdoor living teams also delivered comps above company average this quarter, driven by seasonal demand and customers focused on enjoying their outdoor space.  
 Our strong execution and powerful brand assortment allowed us to meet the elevated demand with brands such as Weber and Char-Broil, the top 2 brands in outdoor grilling, and an outstanding outdoor power equipment lineup featuring John Deere, CRAFTSMAN, Husqvarna, Honda and the Ariens brands. And today, I'm particularly excited that we are building on our industry-leading portfolio of outdoor power brands with EGO, which is the #1 brand in battery-powered outdoor power equipment. Lowe's is already the #1 destination in outdoor power equipment. And the addition of the EGO brand to our arsenal now only reinforces that leading position.  
 Beginning in December of 2020, Lowe's will be the exclusive nationwide home center to offer EGO's innovative battery-powered mowers, trimmers, chainsaws and blowers. In addition, Lowe's will begin offering select skilled battery-powered outdoor power equipment in late 2020, which includes mowers, leaf blowers and trimmers. The addition of the EGO brand furthers our commitment to expanding our assortment of sustainable products. EGO's battery-powered equipment is capable of matching or exceeding the performance of conventional gas items, which supports our corporate sustainability efforts.  
 In hardware, we continue to expand our Pro brand offering with the national launch of Simpson Strong-Tie framing hardware and fasteners this quarter in conjunction with the Just For Pros customer acquisition event. This product offering meets a critical need for the Pro in building out their projects, so we're now able to further extend our relationship with the Pro customer by helping them fulfill all their hardware needs in one place.  
 And as Marvin mentioned, we are pleased to see higher-than-expected online sales this quarter, along with a significant increase in downloads of our mobile app as well as improved customer ratings. We have also continued to enhance our omnichannel capabilities in the store with the launch of mobile check-in for curbside pickup that occurred in early July. This is also that customers can now let us know when they're on their way and when they've arrived at the store to pick up their order. And we added an internal order picking app to improve our associates' speed and accuracy in fulfilling these orders.  
 We are also focused on other extensions of our omnichannel capabilities. With our transition of Lowes.com to the cloud now fully complete, the teams are working quickly to accelerate the front-end work and deliver improved customer-facing capabilities in the second half of this year, such as online delivery scheduling, online order tracking, a dynamic customized homepage, simplified search and navigation and an expanded online product offering to further enhance the customer experience and to continue to grow sales.  
 As we look ahead to the second half of the year, we're excited to build on our retail fundamentals foundation. Consistent with our long-term plans, we are continuing with our merchandising investment in our stores with resets to address our product adjacencies that make it easier for the customer to shop, all with a focus on the Pro. This work will be done throughout the back half of the year. And we expect to touch the majority of our stores by the end of the fiscal year. And as we plan for the holiday season, when customers are expected to stay closer to home this year with a keen focus on home improvement projects, we are prepared and committed to serve their needs for fall preparation projects, remodel activity, space conversion projects, holiday decorating and gifting, along with core repair and maintenance activity.  
 In closing, I'd be remiss if I didn't again express our appreciation for our vendor partners, who again went above and beyond to help keep our shelves stocked despite facing unprecedented demand and their own operational challenges related to COVID-19. Across building products, home decor and our hard lines businesses, there were a number of standout performances again this quarter.
 Thank you, and I'll now turn the call over to Dave. 
David Denton: Thank you, Bill, and good morning, everyone. I'll begin this morning with a few comments on the company's liquidity position and our capital allocation priorities. Last quarter, we decided to raise some incremental capital in light of the disruption in the global credit markets.
 After issuing $4 billion in senior notes and increasing the capacity of our revolving credit facilities by nearly $800 million, we now have $11.6 billion of cash and cash equivalents on the balance sheet. Additionally, we have $3 billion in undrawn capacity on our revolving credit facilities. So in total, we have an immediate access to $14.6 billion in funds, and we remain confident that we have ample liquidity to navigate any unforeseen circumstances. At the end of our Q2, our adjusted debt-to-EBITDA ratio stands at 2.4x.  
 During the quarter, the company generated $11 billion in free cash flow, driven by exceptionally strong operating performance. In the long term, we remain committed to delivering robust shareholder returns through our disciplined capital allocation program, consisting of 3 main pillars: first is strategically investing in our business to drive outsized returns; second is supporting our 35% dividend payout target; and finally, returning capital to our shareholders through value-enhancing share repurchases.  
 However, as you know, we have currently suspended share repurchases in light of the unprecedented environment created by the pandemic. We continue to support our dividend program, and we returned $416 million to our shareholders by paying a dividend of $0.55 per share in the quarter. And importantly, we are investing in growth initiatives to build on the momentum that we are seeing across our business. In Q2, capital expenditures totaled $382 million. We continue to prioritize investments in our omnichannel capabilities as our customers are shopping more online.  
 Now turning to the income statement. In Q2, we generated GAAP diluted earnings per share of $3.74 compared to $2.14 last year, an increase of 75%. In the quarter, there was a very modest impact on operating income related to the previously announced Canadian restructuring. Now my comments from this point forward will include certain non-GAAP comparisons, where applicable. 
 In Q2, we delivered adjusted diluted earnings per share of $3.75, an increase of 74% compared to the prior year. These results surpassed our expectations due to higher-than-expected sales, gross margin rate and SG&A leverage as well as our strong execution to meet robust customer demand. Q2 sales were $27.3 billion, an increase of 34.2% on a comparable basis versus the prior year. This was driven by transaction growth of 22.6% and total average ticket growth of 11.6% as we saw strong repeat rates from new and existing customers.
 U.S. comp sales were up 35.1% in the quarter with truly broad-based strength across all geographies and across both DIY and Pro customers. Lowes.com sales growth remained robust, increasing 135% in the quarter. Given all of our previously announced investments in the product and service offerings for the Pro, we were particularly pleased to see mid-20% growth for the Pro customer in Q2.
 Our U.S. monthly comps were strong throughout the quarter with 41.5% in May, 34.4% in June and 28.2% in July. It's important to note that we delivered these strong comps despite significantly reducing promotions during the quarter. Throughout the quarter, we saw strong COVID-related demand, driven by customers working on incremental projects to make their homes as safe and as functional as possible. It's clear that homes have become multifunctional spaces for many families, a place for work, for school and for residence. We've also seen wallet share shift away from other forms of discretionary spending, shifting into home repair and maintenance work. 
 Our sales also benefited from excellent execution and strong service levels across our stores in response to this unprecedented demand. Of note, sales trends remained strong in areas of the country where COVID-19 had been resurging. In August, we've continued to see the strong broad-based sales trend that we experienced in July with strength across both DIY and Pro customers. Month-to-date, August U.S. comp sales trends are materially consistent with July's performance levels. 
 Gross margin was 34.1% of sales in the second quarter, an increase of 197 basis points compared to the second quarter of '19. Gross margin rate improved 137 basis points, driven by benefits from our improved pricing and promotional strategies. Favorable product mix also drove approximately 60 basis points of benefit. 
 SG&A was 18.4% of sales in Q2, a 90 basis point improvement over LY. The company delivered a substantial improvement in operating leverage despite $430 million of COVID-related expenses. These investments included $260 million in financial assistance for our frontline associates, approximately $75 million related to cleaning and other safety-related programs and approximately $95 million in charitable contributions.  
 While $430 million of COVID-related expenses negatively impacted SG&A leverage by 157 basis points, this was more than offset by: payroll leverage of 110 basis points related to higher sales volume and improved store operating efficiencies; advertising leverage of 35 basis points; employee insurance leverage of 40 basis points; and occupancy leverage of 40 basis points. Adjusted operating income margin increased 311 basis points to 14.5% of sales, driven both by robust sales and improved operating efficiencies. 
 The effective tax rate of 24.4% was in line with our expectations and consistent with the prior year. At $13.8 billion, inventory was essentially flat compared to the prior year levels as the supply chain worked to meet elevated customer demand throughout the quarter.  
 Now before I close, let me address our 2020 business outlook. As I indicated last quarter, we have suspended our guidance. In this unprecedented operating environment, we, like many other companies, have limited visibility into the future business trends, which result in an unusually wide range of potential outcomes for our financial performance. Having said that, I'd like to provide some perspective on the second half of the year. 
 First, we expect that our top line growth will moderate somewhat from Q2 levels, although demand is still expected to remain strong as consumers continue to invest in their homes. Further, we expect that our improved product offerings and customer service will allow us to retain new Pro and DIY customers. Now keep in mind that both the third and fourth quarters are typically smaller revenue quarters, given the natural demand patterns of the home improvement sector.  
 For the remainder of the year, we expect that promotional activity will increase modestly but will not return to the prior year levels. We will also be lapping harder prior year comparisons as our sequential gross margin performance improved as we moved through 2019. As such, we expect lower levels of gross margin expansion in the second half of 2020 relative to the second quarter.  
 Turning to expenses. We anticipate that we will incur COVID-related operating expenses of approximately $70 million to $80 million per quarter to support safety and cleanliness in our stores. And importantly, we are making significant investments in our business to support the long-term growth and enhanced returns. Some of these investments include merchandising resets and expansion of our supply chain infrastructure. In the back half of this year, many of these projects are weighted more heavily towards expense rather than capital. Based on all of these factors, we anticipate that operating income margin flow-through will moderate in the second half versus the first half. We're still planning for approximately $1.6 billion in CapEx for the year with a continued focus on omnichannel investments.
 In closing, we are operating in a robust sector with strong underlying demand trends. We are investing in our business to further our capabilities, so we can continue to disproportionately capitalize on these trends. We have a strong balance sheet, and we remain committed to a disciplined capital allocation program, which should lead to long-term shareholder value creation. 
 So with that, I thank you. We're now ready for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Chris Horvers with JPMorgan. Our next question comes from the line of Simeon Gutman with Morgan Stanley. 
Simeon Gutman: Nice quarter. I'm going to apologize, this will sound like the broken record question. I wanted to ask about the 12% EBIT margin target, realize an actual goal in terms of timing was never given, but that this environment probably speeds it up. Can you talk about 12%? I think some of the math to get there in the near term or medium term would imply that sales continued to grow at a nice rate but expenses actually get deleted or your productivity gets a lot better. So can you talk about the reality or the realistic nature of doing that in the next, call it, 12 to 18 months? 
David Denton: Chris, this is Dave. I think you're right. Obviously, we are very focused on delivering upon that 12% operating margin target. And keep in mind, that's just a step function. That's not the end. We think we can do better than that over time. It's clear at this point in time, we're trending a bit ahead of that, given just how our business is performing. But having said that, we still have a lot of investments that we're making to be sure that we can consistently deliver that 12% day in and day out. 
 I think you heard us talk about this morning that we're investing in assortment and merchandise in the store environment. We're making really important strategic investments in our online capabilities and technology platform as well as in our supply chain. And we continue to focus in those areas to make sure that we can consistently deliver both really strong top line performance, manage gross margin at a reasonable rate, leverage SG&A in a meaningful way, so we can deliver that off-base target over time. 
Simeon Gutman: And Dave, is there any different thought with regard to gross margin? I know that, right, it's benefiting in the near term from lack of promotions. And you're expecting that level of promotion to continue or to rise to be a little bit less of a benefit going forward. But is there some level -- or is the calculus of getting to the 12% any different, where gross margin ends up being a little bit better in that -- than you thought initially? 
David Denton: I don't know that there's anything materially that's changed there. Clearly, 2019, we had a bit of a step down in gross margin. Our objective in 2020 and beyond was to get our margin rate back. Keep in mind that we are making investments in supply chain that will disproportionately dampen gross margin rate but will allow us to lever SG&A more productively over time. So you have some natural kind of geography shift within the P&L, Simeon. 
Operator: Our next question comes from the line of Michael Lasser with UBS. 
Michael Lasser: Marvin, do you think there's been any structural shift, meaning that this growth you're experiencing now won't just be a one-shot deal that will be given back next year when people go back to traveling and eating out? Said another way, under what conditions do you think you can comp positive next year when you lap all of this? 
Marvin Ellison: Mike, I think it's a fair question. Next year is difficult for all the obvious macro reasons. But we feel good about our business trends. And look, I don't want to minimize the impact of what we describe as retail fundamentals. We talked about getting foundational things in place here at Lowe's for the last 18 months. And they're paying dividends. Getting dot-com on the cloud, hiring an experienced team of home improvement and retail experts in key functional areas, new price management system, field merchants, focus on Pro, I mean, all of these things matter. And when we think about market share and we think about the sustainability of it, our data is pretty consistent that when customers shop us in store or online, they have a good experience. They come back. When customers shop us in our stores, especially in this environment and they feel safe, they come back. 
 We've done an analysis that suggests that our COVID-19 safety protocols in our stores are amongst the strongest in the industry. And Forbes ranked Lowe's #6 on their list relative to that. And our research tells us that when customers show up in our environment, specifically during this COVID-19 crisis and they feel safe and they feel well taken care of, they come back. And when you look at our first half results, it demonstrates that customers are coming back over and over again. And so we believe that of all the things within our control, if we can execute these at a continual high level, then the rest will take care of itself. 
Michael Lasser: Okay. Then my follow-up question is of the mid-20s percent Pro comp that you experienced, what portion of that came from new pros that Lowe's hasn't been regularly interacting with? And where did you grab these from? And maybe somewhat unrelated, Dave, you mentioned that promotions are going to pick up in the back half of the year. Why would that be the case if the environment stays the same? 
Marvin Ellison: Yes. So Michael, let me take the first part of the Pro question, then I'll hand it to Joe and he can give you a little bit more context. We feel really good about our Pro business. And we stated in the prepared comments that DIY outperformed Pro from a comp perspective. But we expected that in this environment. But we also know that we had increased performance in our urban areas. And we think that, that was driven by our improved performance in Pro as well as our omnichannel and online performance, which you have to have in those urban markets. So I'll let Joe just briefly cover a little bit about the Pro segmentation that we have. 
Joseph McFarland: Yes. Thanks, Marvin. Thanks for the question, Mike. Our strong Pro demand with comps in the mid-20s continues. And it's really around our -- the investments that we've been making in both the product and the service offerings. So it's things like our job lot quantities, our dedicated supervisors, our Pro parking, our loaders, et cetera, et cetera. And as we now move to the more strategic phase of our Pro growth initiatives, what we're really excited about the progress we're making, things like our Pro loyalty platform that's integrated with CRM, keeping Pros working through the partnerships that I've announced at HomeAdvisor and JobSIGHT, really excited about our announcement of the tool rental. And so as these Pro customers continue coming back, seeing new product additions like Simpson Strong-Tie, and so we feel very good about the future of our Pro business. 
David Denton: And Michael, as it relates to pros, I'll ask Bill to comment here a bit as well. But clearly, as we cycle in the back half of the year, we do think promotions will tick up just a little bit. I don't think it will be a material change. But I think it is important that we communicate really the value that we're offering to both consumers and the pros, the breadth of offering that we have at Lowe's. And I think because of that, you'll see just a slight tick-up, but I don't think a material change from a commercial cadence perspective. I'll ask Bill to... 
William Boltz: Yes. Just to -- Michael, just to add on what Dave was saying, I think we've clearly got to realize that gift centers and the holiday trim and tree programs were all committed for and bought prior to COVID happening. And so those were well in motion and on the way. And those are things that we have to work our way through based on how the consumer responds to those programs. But I think it's also important to clarify that during the quarter and during the first half of this year, we were dramatically less promotional all around building around our pricing and promo strategy that we've been working to put in place over the last 20 months, which has been a focus on everyday values and being priced right every day for our customer. And so really pleased with the traction that we're making with the teams. And I think as we look at the back half, it's not like we're going to go from one side of the road to the other and just get back into the promotional game. 
Operator: Our next question comes from the line of Chuck Grom with Gordon Haskett. 
Charles Grom: Great results. Marvin, I just wanted you guys could just speak to the opportunity on the digital front now that you've completed the migration to the cloud, I guess, just to size up the opportunity for you guys in the back half and even into next year. 
Marvin Ellison: Well, we think it's significant. I mean we've talked from the very beginning about the importance of modernizing our online business. And I just can't help but reiterate that just a year ago, we were on a decade-old platform. And we were slowing our growth because we were disappointing customers. So the ability for Seemantini and her team to get this replatforming effort done in the second quarter is monumental for us because it gives us so much agility and flexibility to build on that platform. We're not going to put any numbers to that, Chuck, because I think in this environment, it's really difficult. 
 But what we do know is that it will be impossible for us to deliver 135% comp as we did in the second quarter without that replatforming effort. Because our instability was such that back in Black Friday of 2018, the volume we had crashed the whole system. And we've had volume that exceeded that for probably 90 straight days. So that tells you where we were and where we are. I'll let Bill talk a little bit about some of the specific things coming online that we think will continue to build that business and open up to a whole new set of customers that will continue to rediscover Lowe's. 
William Boltz: Yes. I think it's important to note that during the quarter, all 15 departments grew at or above double-digit rates for dot-com. All -- and the migration to the cloud, obviously, allowed for speed, allowed for us to be nimble. But we've got improved checkout and navigation continuing to happen as we go through the back half. We've continued to work on separating freight from costs. And if you remember our comments on this before, this will help make sure that competitive pricing shows up online the way it needs to show up online, continue to enhance our curbside pickup, working with Joe's team in store, continuing to improve our buy online, pick up in store process to make that store picking faster. And in my prepared remarks, I talked about the store picking app, that's all around designing for the associate to be able to handle the customer with speed. So we've got a lot of efforts going in addition to adding SKUs and improving the content that we put out there on dot-com on a daily and weekly basis. 
Marvin Ellison: So Chuck, we're not trying to avoid answering the specifics of the question. It's just really tough to forecast. We just know that we have a much better platform that we can take that demand and manage it as it comes our way. 
Charles Grom: That's helpful. And then just taking a step back, the long-term sales per square foot target, I believe, is around $370. You're going to hit that number pretty easily this year. So I just to kind of build off of Simeon's question about margins but thinking about it from a sales productivity perspective, you're still about roughly $100 below your biggest peer. I'm just wondering if you guys just size up the opportunity of how much more productive your stores can be, that would kind of lend support that you guys actually should be able to comp to strong results in the next couple of years. 
David Denton: Yes. Chuck, Dave here. Obviously, we have a tremendous amount of opportunity here. Part of what we're doing is investing in our infrastructure such that our base can become a lot more productive day in and day out. And you heard Joe speak about all the investments we're making from a technology perspective within the store environment such that we can really leverage the hours that we have in our stores to put more of those hours to work facing customers and actually driving increased sales and productivity as we move volume through the box. So I think there's a big opportunity. You'll see us continue to talk about it and push on it. And actually, even leveraging the omnichannel environment will also help that. Because if we engage consumers both in the store and online, it really helps us leverage those fixed costs across our platform. 
Marvin Ellison: So Chuck, this is Marvin. And I'll just add this last point. So if you think about where the opportunity exists for us to increase sales per square foot, first, it starts with what Dave talked about and Bill discussed in his prepared comments regarding the work we're going to do in the second half to get our adjacencies corrected and to go in and drive more bay productivity based on how we are merchandising the floor and also creating a more intuitive shopping experience. This sounds very basic. But we all were surprised with the poor adjacency structure in our stores and how most stores don't even have planograms in the system. And so it's almost impossible to merchandise and to have a good replenishment strategy. So that's number one. 
 Number two, you have 3 things that are going to drive productivity in existing stores: an increased penetration in Pro, an improved e-commerce and omnichannel infrastructure and a better install business. And we have negative comp in installed business last year. We've discussed dot-com to a high degree of detail and we've also talked a lot about Pro. And so all of these investments are part of our strategy to hit those targets that you talked about. And we think we're well on our way to making some progress. 
Operator: Our next question comes from the line of Scot Ciccarelli with RBC Capital Markets. 
Scot Ciccarelli: Scot Ciccarelli. I think one of your bigger productivity unlocks was shifting some of the big -- large inventory categories, like appliances, out of the stores and back into the fulfillment network. Can you update us where you are on that front? And related to that, are there any large productivity initiatives that you've maybe had to delay because of the unexpected sales surge? 
Marvin Ellison: Scot, I'll take it. This is Marvin. So I'll take the second part first. No, I mean, we hadn't really delayed any large project. Dave mentioned, to the contrary, we've decided to push projects up that drive productivity and also that impact the improvement of our omnichannel strategy because we believe that we're behind. And candidly, we want to come out of this COVID-19 crisis a better company than we were going into it. And we think we're making progress in that area. 
 Relative to supply chain and our transition of products like appliances out, we're in the early stages of that. I reiterated in my prepared comments that we are going to have an aggressive 18-month strategy to roll out, deliver cross-dock and bulk distribution centers and also online fulfillment centers. Our pilots have proven successful in getting appliances and bulk product out of our backrooms into more centralized, local distribution or delivery. And you're going to see us accelerate that in the back half of the year going into next year. 
Scot Ciccarelli: That's really helpful. And can you just give us a quick update on where you are in terms of the customer-facing hours versus tasking? 
Marvin Ellison: Yes. Let me hand that to Joe and he can give you some specifics. 
Joseph McFarland: Yes. Thanks, Scot. So we've made significant progress. We're ahead of our 60-40 goal. We continue to engineer out tasking in the stores to improve customer service. We are well on our way and ahead of our 60-40 goal. 
Marvin Ellison: Yes. And Scot, the last point I'll make, just giving credit to Joe's team and the IT team. Without some of the advancements in technology, like the new labor scheduling system, I mean, we would be in a much different position as a company, trying to serve the needs of the customer and the needs of the associates in this unique environment. But having a system that gives us the ability to manage to the unique needs of both customers and associates, that system was put in place last year, it's created just an enormous benefit to our ability to not only serve customers but to drive productivity. So proud of the progress of Joe and the operations team. And we think we'll hit that target before what we committed to because it's just the right thing to do for our associates but also for our shareholders. 
Operator: Our next question comes from the line of Steven Forbes with Guggenheim Securities. 
Steven Forbes: And Dave, maybe the first one for you, just given the number of facilities being stood up over the next 18 months. And you sort of mentioned the geography shifts in the prepared remarks. But can you help us better understand the P&L implications? I mean should we expect a net margin headwind, I guess, an incremental one, given the pull-forward here? Or are there enough offsetting factors to neutralize the initiative as you roll it out? 
David Denton: Steven, just keep in mind that what we have done here is consistent with our long-term plan because we were always in the mode of investing in the supply chain that we knew would drive incremental costs and dampen gross margin rate but would alleviate some SG&A pressure in the stores and across our platform. So I think the plan over the long term is consistent with that. Clearly, when you make investments in the short term, you have to stand up the facilities in advance for them being at full productivity level, so there will be some near-term headwinds. And that's somewhat of the commentary you heard me speak about as you thought about the back half of 2020 is really due to that fact. 
Marvin Ellison: Yes. I think -- and Steve, this is Marvin. The only point I'll add is, obviously, this is part of our plan. But we also have things we're implementing that will be offset. And I talked about the price management system. And the continued maturation of that system gives Bill and his team a lot more understanding to drive benefits relative to pricing and also having a more balanced promotional strategy. 
 Some of the things that Joe is putting in the stores from a productivity perspective that's helping us to get that balanced payroll, which also drives operating income improvement. So there will be offsets to go along with the investments we're making. This is not really a pull-forward. This is really a reminder of where we are in the process, so it keeps us on track. We're not getting off track, and we're not going to create any downside scenarios that we didn't anticipate. 
Steven Forbes: And then just a quick follow-up. I guess, Dave, again starting with you. As you noted, right, the expectation for, I guess, a moderation, right, in top line growth as we head into the back half of the year. But any context on how that pertains to both the DIY and Pro customers? Is there any sort of, I guess, dichotomy between the 2 channels or 2 customer segments? 
David Denton: Listen, I don't think so. Listen, I think we've seen really strong growth and retention of both new and repeat customers in our channel, both from a Pro perspective and DIY. I think just practically speaking, we're going into kind of the season which demand begins to moderate just from a natural progression perspective. And I think that's just what we're trying to call out as you think about the back half of the year. I think we're really nicely positioned from a merchandising perspective and from a labor perspective that we're going to really do well from a service perspective and have the right product in stores and online to meet the demand for these customers. 
Operator: Our next question comes from Seth Sigman with Crédit Suisse. 
Seth Sigman: Given the strength over the last few months, we get a lot of questions about pull-forward. I guess as you look at the composition of sales through the second quarter and then obviously early here in the third quarter, are you seeing any change in the types of projects that consumers are working on? Anything that maybe helps give you confidence that demand through this period has been incremental versus pull-forward? How are you guys thinking about that? 
Marvin Ellison: We do not see it as pull-forward. I think what we've tried to articulate is that this is a really unique environment, where most of us are forced to spend more time at home than we ever have in our lifetimes. And so those customers are finding projects around the house that have been on the list, they just hadn't got a chance to get to them or candidly they just didn't notice them. So we don't see this as a pull-forward. This is more of an incremental add. 
 In addition to that, as I mentioned, we've been running a negative install business for the past couple of years. And Bill Boltz and his merchandising teams made big investments last year in updating our flooring showrooms in our stores and updating our kitchen showrooms. We believe that those investments in the store has led to us improving our install business this year, along with the restructuring of the field team that Joe took on. 
 So the short answer is we don't see this as pull-forward. We see it as incremental just based on the unique environment that we're in. And we also see it as market share gain. I mean it's difficult for a company our size to grow sales by 35% comp without having some significant market share gain that's happening as well. 
Seth Sigman: Right. Okay. That's helpful. And then just a question on the regional consistency. It's helpful to get that color and it's obviously a very good trend that it's been so consistent throughout this period. I'm just curious, have you seen any change in comps or the composition of categories in markets where COVID cases have started to pick up? 
David Denton: No. We have not. I think actually where COVID has picked up, we've seen very strong demand in those markets. And it's been pretty consistent, so we really have not seen a material change in there. 
Operator: Our final question comes from the line of Mike Baker with D.A. Davidson. 
Michael Baker: So I wanted to follow up on DIY versus Pro. And I think some of your comments suggest that DIY was maybe up closer to 40% in the quarter versus Pro up 25%. But has that gap narrowed this quarter? I think at one point, it was said that Pro is up mid-20s and you sort of implied that the whole company is up mid-20s in August. So that would imply that, that gap has narrowed. Is that a correct assumption? 
Marvin Ellison: I would say your assumption is correct on the ratio between Pro and DIY, relative to a composition change, not so much. I mean this is a unique environment. And most of 2019, our Pro comps outperformed DIY. The shift occurred, obviously, during this COVID-19 crisis, where customers are spending more time at home. And in some cases, they're still a little apprehensive to allow contractors in their home. So we think those combination of factors is driving the resurgence in DIY. We have to be more penetrated from a DIY perspective as a company. Our Pro business is growing, but DIY has always been a strength, and we think that we're benefiting from the current trends. 
Michael Baker: Okay, makes sense. One more follow-up on indoor versus outdoor. So you gave us the indoor comp. Could you just share with us the outdoor comp or percent of indoor versus outdoor and then we could back into the outdoor comp? But more importantly, how does that percent change as we go through the back half of the year? How much bigger does indoor get relative to outdoor? 
Marvin Ellison: Well, what I would say is we've given plenty competition information. So we're not going to give you any more specifics on ratios because we think we've given enough to provide context and color. But going into the back half of the year, this shifts inside versus outside just due to weather and seasonality. I'll let Bill talk a little bit about what our focus is on the inside and the back half because it's something that we've been working quite a bit on. 
William Boltz: Yes. I think to play off of Marvin's comments, as we shift to the fall business, it naturally shifts indoor. But in the southern parts of the country, there's still a lot of outdoor projects that get done as the weather cools. But for the northern markets, the Pro moves inside, the consumer moves inside, flooring, kitchens, bath, those types of projects, all about getting the home ready for the holidays is where the customers focus. And then you have your natural fall businesses, right? So fall businesses continue to play. Those are a little less seasonal than the spring time frame. And they're all really driven based on what Mother Nature brings. So that's really what drives the back half of the year. 
Michael Baker: Okay. One more which might be helpful for everyone, if I could. You talked a lot about COVID. Where we've seen the COVID spikes, business remained strong. I guess I'd be concerned about the opposite, where COVID is sort of calming down, are we seeing people move away from the home? 
David Denton: We have not actually seen our business in those areas actually improve. 
Marvin Ellison: So -- and the last point I'd make, we have 15 geographic regions. All 15 were 30% comp or higher. I mean that's a pretty unprecedented number. And that illustrates the consistency of demand across rural, urban and all types of geographies in the country. And we think that is also consistent with really good execution by the merchandising and stores team to drive the business as well as outstanding work from our store leaders out there every day, doing incredible job for customers and communities. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.